Operator: Good day, ladies and gentlemen. And welcome to the Fiscal Year 2014 Eagle Materials Incorporated Earnings Conference Call. My name is Denise and I'll be the operator for today. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now turn the conference over to Mr. Steve Rowley, President and CEO of Eagle Materials. Please proceed.
Steven Rowley: Thank you, and welcome to Eagle Materials conference call for the fourth quarter and fiscal year 2014. Joining me today are Craig Kesler, our Chief Financial Officer; and Bob Stewart, Executive Vice President, Strategy, Corporate Development & Communications. There will be a slide presentation made in connection with this call. To access it, please go to www.eaglematerials.com and click on the link to the webcast. While you're accessing the slides, please note that the first slide covers our cautionary disclosure regarding forward-looking statements made during the call. These statements are subject to risks and uncertainties that could cause results to differ from those discussed during the call. For further information, please refer to this disclosure, which is also included at the end of our press release. Increased demand for our products combined with higher net sales prices resulted in a 40% year-over-year increase in Eagle’s consolidated revenues, and 104% increase in Eagle’s earnings per share this past year. The $898 million in consolidated revenues represent Eagle’s second highest revenues on record. We include revenues from our Texas joint venture, like we do for segment reporting, Eagle’s fiscal 2014 revenues were a record 1 billion. While this winter's weather was unusually cold and wet and long, we are very pleased by the level of construction activity in between winter storms. As winter turn to spring, our sales opportunities have a smiling and scrambling to meet our customers' needs. A 39% increase in our annual cement sales volumes and a 5% increase in our average net cement sales price were the primary drivers of the increase in Eagle's annual cement concrete and aggregate revenues. Cement price increases have been realized in all of our markets during this past year. Increased wallboard average net sales prices and increased gypsum wallboard paper sales volumes resulted in a 22% increase in our annual comparative of wallboard and paperboard revenues. Those same factors resulted in a 46% increase in our annual wallboard and paperboard operating income. Now, let me turn this over to Craig for more details on the financials.
Craig Kesler: Thank you, Steve. Cash flow from operations during fiscal 2014 was $170 million, up 37% from the prior year. Capital spending of approximately $59.5 million was used primarily towards the build out of our frac sand operation and maintenance capital. Excess cash flow was used to pay dividends and reduce outstanding borrowings. And interest expense was $18.3 during fiscal 2014. Our effective tax rate for the year was 32%. As this last slide reflects, Eagle is generating meaningful cash flow from operations, as we benefit from improvement in market conditions across a larger footprint of operations while also improving on our low-cost competitive position. We have primarily used this cash flow to reduce debt and improve our financial flexibility. Our net debt-to-cap ratio was 31% at March 31, 2014. Thank you for attending today's call. We'll now move to question-and-answer session. Denise?
Operator: (Operator Instructions) Our first question comes from Kathryn Thompson with Thompson Research Group. Please proceed.
Kathryn Thompson - Thompson Research Group: Hi, thanks for taking my questions today. The first is on the wallboard segment. Volumes were up 2% for the quarter, which when you compare regions which you compete seems a little light. Granted that you saw central for the industry was up 0.8% for the quarter, but what south central which would have covered your total plant was up high single digits for the quarter. Could you reconcile what we would have thought were a little bit lighter volumes? And also following on that, could you discuss how volumes stood at between storms or maybe as we had it in the April and May? Thank you.
Steven Rowley: So, you start out with wallboard, are we talking about cement or wallboard volumes?
Kathryn Thompson - Thompson Research Group: Wallboard.
Steven Rowley: So in wallboard, if you remember there’s a pretty good pre buy ahead of January. So we’re always a little slower in the first part of the year with the pre buy ahead of the price increase January 1. But I guess the easiest way for me to answer that is, in April our wallboard shipments on a per day basis were 25% greater than the March quarter that will kind of give you a feel for what’s happening with wallboard. If I wanted to look at wallboard in April shipments year-over-year versus April a year ago, they are 11% higher than last year’s April. So we’re very, very happy with the volume for wallboard and in addition to that we have (said those are the) [ph] books for April the price of our wallboard mill net in April is actually slightly up over the March quarter and reach about 164 (154) [ph] for the month of April. So the trends in wallboard are very, very positive.
Kathryn Thompson - Thompson Research Group: Okay great, that’s very helpful. And once again for your Illinois -- excuse me your cement volumes. You had greater exposure to a more severe weather on Kansas, Illinois, Middle Mountain region. To what extent did volume versus the plant maintenance impact volumes in the quarter?
Unidentified Company Representative: So the answer, our volumes were up, we met all our sales needs for what our customers are brought in, volumes year-over-year and cement are up 4%, so what that means is in between storms the demand was very strong, we’re very happy with demand. Maybe in one region or one plant at Illinois as the weather continued with the fact that why keep fighting it, we’re going to do on outage next month, let’s just set down now and do our annual maintenance a little bit early. Our inventories are full, it make sense to do it, so rather than try to stock pile stuff out the snow we chose to shut down, perform our maintenance a little bit earlier. So that was the only real impact that we had as we pull forward the maintenance outage that normally would have been held in April rather than March.
Kathryn Thompson - Thompson Research Group: And most of those costs realized in the quarter are just reported, so we shouldn’t see as much flow into Q1?
Unidentified Company Representative: That’s correct. Now I think some of our other plants at their normal maintenance as planned in April but clearly the Illinois cost would not flow in.
Kathryn Thompson - Thompson Research Group: And final questions, where are you in terms of the traction build out just from a structure stand point? And could you give an update on the water runoff permit?
Unidentified Company Representative: We’re still waiting on the permit, really think have it in hand any day now. But as far as all of the pieces in place to continue to expand that project and to expand that business, every quarter we continue to make more progress, I think this last quarter we applied for some more -- some extension of what we’re doing in Illinois and expansion of what we’re doing in Illinois and all of that seems on track. So we’re very happy with the progress that we’re making and our goal of what I've been saying was three years to four years maybe two years to three years supplying 4 million to 5 million tonnes of frac sand to various basins, looks right on track.
Kathryn Thompson - Thompson Research Group: Great. And one last question, I’ll get back in the queue. The 6% increase in that price in the quarter, does that ordinarily reflects price increases in 2013 and how much of that reflects the Mountain region price increase that was implemented in January.
Unidentified Company Representative: The Mountain increase was very, very solid and I am not sure the volume of that relative I’d have to get back with you and pull out the impact of that but clearly we had increases throughout the year, the one area that we had a January as opposed to know, April increase was on Mountain that held very strong. Cement demand that is very strong looks like it should be high to single-digits this year that will kind of cross our markets. And supply is in the better markets is extraordinarily tight, requiring some type of a controlled distribution and in these instances where we’re struggling to meet our customer needs we’re doing our best to waterfall cement from neighboring markets, but logistics remain very challenging that requiring a daily effort just to keep that cement flowing. So price increases right now we’re holding, as cement becomes more and more challenging to find, our mill currently, all our mills now are sold out for this shipping season.
Operator: Our next question comes from Trey Grooms from Stephens. Please proceed.
Trey Grooms - Stephens Inc.: Quick question I guess on the pre-buy you mentioned Steve and wallboard. How long does that typically take to burn off I guess the excess or higher inventory in the channel that’s a result of the pre-buy?
Steve Rowley: Every year it’s a little bit different, I think this year the pre-buy was a little stronger than in the past, so I think it took the better part of the month in January to burn a lot of that off, so January was weaker than normal.
Trey Grooms - Stephens Inc.: Got you. But as far as February was concerned by the time you get into the back half of the quarter, that’s pretty well run its course through the channel.
Steve Rowley: That’s correct.
Trey Grooms - Stephens Inc.: And on wallboard pricing, I mean I know you guys report a mill net, what if any impact did freight have on that reported price that you had there?
Steve Rowley: Freight keeps going on and we keep trying to shift wallboard closer and closer, the same reasons I mentioned just a minute ago in summit. Logistics just continued to remain challenging for wallboard, so we are choosing to focus our commercial efforts closer and closer to our plants primarily to ensure customer service but also to control cost. So, cost went up to about $36 or something right now but that’s on a per mile basis, they are up 236 not up 36. And but on a per mile basis they keep going up but there is a reason, the flat bed trucking industry is currently operating near a 100% maybe 98% the utilization. So, there is a reason why it’s really hard to get the products where it needs to go in a timely fashion and keep your customers satisfied.
Trey Grooms - Stephens Inc.: Right. And so that 36, how did that compare a year ago or maybe even just in the fourth quarter?
Unidentified Company Representative: Up a couple of bucks.
Trey Grooms - Stephens Inc.: Okay, all right, very helpful. And Craig you called our wallboard maintenance in the quarter, I don’t remember you guys breaking that out in the past. Is this type of maintenance unusual or non-recurring or something special about this type of maintenance that occur in the quarter?
Craig Kesler: Wallboard is not as lumpy as SMED when it comes to maintenance but every once in a while you really do need to take these plants down for a little more extended maintenance and that’s what we did this quarter.
Trey Grooms - Stephens Inc.: And does that occur every year or?
Craig Kesler: Well that occurs when we have an opportunity and we really had an opportunity with the pre-buy, so then you have some time when you can get some stuff done, you really wanted to get done.
Trey Grooms - Stephens Inc.: Got you, okay. And my last question then I'll jump back in queue as well. The recent announcement from Lafarge and Wholesome, I know you guys are very adamant and very vocal about your interest in expanding when the opportunity arises expanding the heavy side of your business, the cement and an aggregate and things like that through acquisition. Just looking at the overlap there, is there anything that kind of, if there were some divestitures that would have to take place assuming this deal proceeds. Will there be anything there that might think you're interest?
Craig Kesler: We're always interested in these type of assets and we don’t know what type of overlap may or may not be out there but if there is some overlap that becomes available, certainly we'd be very interested.
Trey Grooms - Stephens Inc.: Okay. And I do want to sneak one more in on frac sand just real quick, frac sand pricing, I know you guys aren’t really out in the market too heavily or anything but I know you definitely have feet on the ground and things like that in the various basins. And can you talk about what you're hearing at least from your perspective what you are hearing on frac sand pricing in the market? It sounds like across many grades, if not all, they are trending up but I don’t know if you could comment on that at all? Thanks.
Craig Kesler: Pricing is definitely up from last summer when it kind of spiked down pretty hard from a year ago but pricing is definitely coming up and coming up in a dramatic fashion as things gotten very tight because it was hard to get sand moving when we had the severe winter weather up in the Northern part of Minnesota, Wisconsin. So, pricing did get much better and looks like it’s holding firm as we speak.
Operator: The next question comes from Jack Kasprzak with BB&T. Please proceed.
Jack Kasprzak - BB&T Capital Markets : Thanks, good morning. The land, Steve, the land you mentioned that you are expanding in Eureka, are you moving all of your processing for that site to the new land or is that part of an expansion, I am just wondering some color there?
Steven Rowley: Yes, so this is part of the build out of what we talked about, so the initial site in Illinois was a mine site. The site that we permitted currently or that we're working on, on zoning in and permitting would be to put another drying plant and that is right on the railroad. It also allows us access to get our raw sand from the mine directly onto a barge on the river without having to put it on the truck. So, it’s a conduit to get the sand down to Corpus very inexpensively. It’s also allows us to build a drying plant similar to what we have at Corpus right on a major railroad.
Jack Kasprzak - BB&T Capital Markets : Okay. Now according to some news reports, I have seen there is supposedly a mining moratorium in LaSalle County, would that not apply to this expansion or somehow you guys might be exempt from that, do I have that right?
Steven Rowley: Yes, I do not know if you have that right, but they are maybe up in Wisconsin there some moratoriums, I do not know of mining moratoriums in LaSalle County. I know there are some other people that have been applying for but this property or at least what we're currently doing is, does not involve mining. So, the process would not involve permitting for mining as it would be a processing facility.
Jack Kasprzak - BB&T Capital Markets : Got it, okay, great. And then the December quarter, your average price in aggregates was $11, this quarter was down to $7 and can you just talk -- I mean the last quarter there were some selling frac in and that is maybe one time.
Steven Rowley: I think we’ve changed the way we reported that. I'll Craig speak to that.
Craig Kesler: Yes, so Jack if you look on that attachment three of the press release, we highlight there that the aggregate both on a sales volumes and on a net sales price basis are excluding frac sand and are more of a traditional aggregate net sales price and sales volumes.
Jack Kasprzak - BB&T Capital Markets : Was there any particular?
Steven Rowley: Yes, in previous quarter we had just lumped it all together and probably should have done that.
Operator: Next question comes from Jerry Revich with Goldman Sachs. Please proceed.
Matt Ryback - Goldman Sachs: Good morning, it’s Matt Ryback on behalf of Jerry. Can you just share your perspective on why the industry isn’t realizing more of the 20% wallboard price increase? I know last year you announced 20% and realized cost 18% the year before -- I am sorry last year you announced 25% and realized closed to 23% the year before. You’re right around 35% and realized about 31%, just any context on what’s changed particularly in the context of accelerating trucking cost?
Steven Rowley: It’s hard to say in great detail other than you do sell to some different segments and some places it might be a little harder to get some of the pricing, but probably the biggest thing is you have had realized some pretty significant price increase albeit from extraordinarily low of almost impossibly low prices for more restarted, so the earlier prices are little easier to achieve and then there is always some room to work on pricing as you go forward. Our focus continues through to be just stay close to our plants and we’re more concerned about price than we’re volume although we see both going up in the markets that we serve.
Matt Ryback - Goldman Sachs: So is it fair to say you think that you’ll get closer to the full 20% over the course of the year or are these the levels that you would expect for the remainder of the year?
Steven Rowley: No, I think near these levels is where we expect and that’s just a function of product mix and geographic mix and customer mix and that’s just the way it ended up this year.
Matt Ryback - Goldman Sachs: Understood. And then on the frac sand business, looks like you maybe more than doubled your sales in the quarter at around 13 million, are you locking any long-term agreement as you introduced the product? And can you give us some more detail on the product creating quality you’re delivering? How might this compare to some of your other suppliers and competitors in the region on (crush) [ph], strength and uniformity?
Steven Rowley: So we still are waiting for our mining permit to get our own sand, that’s we’re buying third-party sand. We're very happy with while we’re buying high quality sand and selling the higher grade sand as opposed to the lower grade sand into the marketplace. So the answer is a little early for us to be too responsive to those questions.
Operator: Our next question comes from Garik Shmois with Longbow Research. Please proceed.
Garik Shmois - Longbow Research: First question just on cement capacity, you indicated that your plants are pretty much sold out and you’ve got your balance sheet in very big shape, just wondering if you could talk about if there is any plans in the works that are eminent to expand capacity in your existing facilities?
Steven Rowley: So it’s really on the seasonal basis and on a milling system basis that we’re sold out. So we don’t have any more finished mill capacity and yes there are some places that because of the seasonality where we know we need to improve our finished mill capacity so we balanced the plants out over the course of a full year. So we clearly are looking at some of those opportunities to spend capital wisely to allow us to fully utilize the kiln or clinker producing capacity of the plants that we have.
Garik Shmois - Longbow Research: You did provide your volume growth in wallboard into April. I was wondering if you could do the same for cement.
Steven Rowley: Cement sales in April. Craig I did frac those.
Craig Kesler: So I think Steve alluded to earlier that we expect upper single digit number for volume growth for the year and cement and among April was consistent for that.
Garik Shmois - Longbow Research: Okay, thank you. And then just looking at fracing you concurred about $5 million in start of [indiscernible] for the year fiscal ’14. Wonder if you could break it out on maybe how much those losses occurred in the fourth quarter and how we should be thinking about start-up cost in fiscal ’15?
Craig Kesler: So Garik in this fiscal fourth quarter so we’ve kind of given you some numbers during the third quarter. The fourth quarter was closer to right around $1 million loss and again this is how we’re ramping up the business and putting the sales group in place late cost associated as we near startup of business and mine so at least until we get permit, we've kind of [indiscernible] those types of run rate until we have a couple online.
Operator: Our next question comes from Glenn Wortman with Sidoti and Company. Please proceed.
Glenn Wortman - Sidoti and Company: Shouldn’t you tend to get the mining permit for fracture in the next couple of months, how fast would you expect to ramp up to act on your full processing capacity for the Corpus Christi facility?
Craig Kesler: So, it takes, once we get the permit it’s going to take a couple of months to finish the retention parts that we have to build and -- but then we should up and running very rapidly. Because during that time we’ll have finished tweaking the start-up of the facility and checking about and so it’s not a terribly complex process, the wet end of size in sand. So we would anticipate then after that to be able to have sand on the river within a reasonable period of time. And then once we have sand on the river it’s about a month to get it down to Corpus Christi and then get the Corpus Christi plant operating at the [indiscernible].
Glenn Wortman - Sidoti and Company: And then, any decision on the wallboard price increase for 2015?
Craig Kesler: Yes, there was one announced, it’s been announced a week or two now, at 15% January 1 for the entire year.
Operator: Our next question comes from Evans Wingreen with DA Davidson, please proceed.
Evans Wingreen - DA Davidson: Thank you, good morning. Backing out the major cost in sort of the wholly owned [indiscernible] operations it looks like profits were down a little bit year over year but [indiscernible] given kind of strong pricing volume in quarter.
Craig Kesler: You know if you look at, quarterly things are going to be lumpy, if you look at year over year for cement our costs were actually down a couple of bucks. Okay, and some of that is, yes that’s roughly split half between the lower fuel costs and half between maintenance costs, so cement because things are so lumpy on a quarterly basis you really need to look at the annual basis. And on annual basis our costs are down.
Evans Wingreen - DA Davidson: Thanks a lot and then for the Illinois, Tulsa and Kansas City cement, could you give us just an update on what proportion of your current production there is coming from oil well cement.
Craig Kesler: The question was, oil well cement, between Illinois, Tulsa and Kansas City. That’s still in the early stages there, it’s a small proportion, it’s not near the proportion that we have in Texas or in the Mountain cement line.
Evans Wingreen - DA Davidson: Right and then just one last one. Do you have any plans with regards to your idle New Mexico wallboard facility at this time?
Craig Kesler: Not at this time.
Operator: Our next question comes from Todd Vencil with Sterne Agee, please proceed.
Todd Vencil - Sterne Agee: Steve, just following up on the comments about the Illinois expansion you guys are doing, so I just want to make sure I understand. You guys are adding a second drying plant up there in addition to the one in Corpus, right.
Steven Rowley: That’s correct.
Todd Vencil - Sterne Agee: How much additional capacity is the second one going to be in (Illinois) [ph]?
Steven Rowley: You know, when everything’s finalized it’ll be about double the size of Portland.
Todd Vencil - Sterne Agee: Okay, so -- I am sorry, the Illinois plant itself is double or it’s about the same size and therefore you’re doubling…
Steven Rowley: The Illinois plant will be nearly double.
Todd Vencil - Sterne Agee: Got it, and -- okay and which shales in particular are you looking to hit with that plant or with that drying facility where [indiscernible]?
Steven Rowley: The nice thing about the location of the mine and the location of the facility is you have access to all kinds of logistical transportation, so you have access to four major rails, which gives you a lot of different places, you have access to the UC, the BNSF, the CSX and the Norfolk Southern all very-very close to the site. And then you also have access to the water which the site is the best place for us to start, so anyway it’ll allow us to hit many-many basins and from many different directions and really excited about our ability to do that.
Todd Vencil - Sterne Agee: Good, thanks for that, on the cost side, I know you were just talking about it on cement, again I don’t think you answered this, it was breaking up a little bit, so if you did I apologize but on the wallboard business as well, I mean we’re looking at -- as you know we kind of break down the sort of cash cost per thousand and that’s been sort of -- it’s been sort of creeping on you for the past year or so, I guess I was looking at it in kind of the -- you know sort of the 70s , the high 70s in fiscal ’13 and it’s been sort of consistently more like in the 80s in fiscal ’14. Is there anything, any sort of secular cost creep going on there….
Steven Rowley: Year over year, there’s about a $3 in combination of gas and repair, so if you look at year over year for gypsum we have about $3, some of that might be a onetime gas -- just a function of gas prices, we don’t do a lot of hedging there. Then we have some stuff that you just show up on another like some legal bills and what not that happen from time to time, so…
Todd Vencil - Sterne Agee: Got it. You expect there’s -- to stay in there or should that fade?
Steven Rowley: Those should definitely fade.
Todd Vencil - Sterne Agee: And then Craig, couple of things, can you give me the DD&A by segment?
Craig Kesler: I certainly can. So I’ll give you for the fiscal year, the quarter for a total was 70.7 million and the breakout not a whole lot different than what it was for the last couple of quarters. But so, cement for the year 31.8 million, wallboard 21 million, paper segment 8.7 million, the concrete an aggregate segment 6.9, and then kind of the other 1.5 million. So total of about 70 million.
Todd Vencil - Sterne Agee: Thanks for that. And then another question for you and I don’t think you answer it, but what are you looking at for tax rate going forward this year?
Craig Kesler: As to tax rate for fiscal ’14 was about 32%, as earnings improved, that may creep up close to 33%, somewhere in that range.
Todd Vencil - Sterne Agee: 32%, 33%. Okay, thanks a lot.
Operator: Our next question comes from Jim Barrett of CL King & Associates, please proceed.
Jim Barrett - CL King & Associates: Good morning everyone. Steve, to ship the 4 million to 5 million tons of frac sand, you foresee over the next two to three years, can you do that from your existing Utica mine or do you foresee purchasing another mine in the future?
Steven Rowley: We have mentioned the fact that we think the industry is getting closer to a timely consolidation. We will clearly look at those opportunities as well. But with what we’re doing in Corpus and the expansion up in Illinois, we'll get pretty close to those type of volumes, just between those two facilities. And the Illinois facility is very centrally located which provides excellent logistics to many-many basins.
Jim Barrett - CL King & Associates: Okay, understood. And then on a related point, Craig, the capital expenditures to get to 4 billion tons to 5 billion tons of frac sand, could you give us some sort of guideline for fiscal ’15?
Craig Kesler: Sure, so for fiscal ’15, you could probably budget, so as we think about total capital spending and a sustaining capital needs in the $20 million to $25 million range, depending upon the timeframe of when the capital is spent up in Northern Illinois, it could be 30 million to 40 million or it might be a little bit more than that to finish the project, but for fiscal ’15 that might be a pretty good estimate.
Jim Barrett - CL King & Associates: So outline is about 50 to 65?
Craig Kesler: Yes in that range.
Operator: Our next question comes from Sandy Fraser with [indiscernible], please proceed.
Unidentified Analyst: This is Coster for Sandy, and I’m sorry if you already answered the question. But, on this mine permitting process, I am sure, it's hard to put a timeframe on the permitting and whatnot, but is there anything that’s specifically -- is there anything specific that’s causing a delay in the permitting process?
Steven Rowley: I really don’t think there is a delay. It took longer than we anticipated because, kind of halfway through the process, we had to switch from one type of a permit to a different type of a permit. I’m talking about the two years, two plus years of process that we've gone through to get this permit. But then once that was done, everything went expectedly as you would expect with the permitting process, just requiring a fair amount of due process with the town meetings and public comment period, all that has been complete and complete at least to our understanding to the IEPA satisfaction. So now that we're dealing all of that and we're going to re-expect the timing to be anytime now. I don't want to put any pressure on anybody, but the timing that we're seeing I think that the due process has been complete and we should receive the permit sometime soon.
Operator: We have no further questions. I would now turn the call back over to management for closing remarks. Please proceed.
Steven Rowley: Well, thank you, it really was an outstanding fiscal ’14 for Eagle Materials and looking forward to really a super fiscal ’15. We're finally very-very happy to be in a place, in an environment, where you have rising prices and rising volumes for the products that we sell. Thank you.
Operator: This concludes today’s conference. You may now disconnect. Have a great day.